Operator: Good day, and thank you for standing by. Welcome to the Q3 2023 Air Transport Services Group, Inc. Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to your first speaker today, Joe Payne, Chief Legal Officer. You can now go ahead.
Joe Payne: Good morning, and welcome to our third quarter 2023 earnings conference call. We issued our earnings release yesterday after the market closed. It's on our website, atsginc.com. Let me begin by advising you that during the course of this call, we will make projections and other forward-looking statements that involve risks and uncertainties. Our actual results and other future events may differ materially from those we described here. These forward-looking statements are based on information, plans and estimates as of the date of this call. Air Transport Services Group undertakes no obligation to update any forward-looking statements to reflect changes in underlying assumptions, factors, new information or other changes. These factors include, but are not limited to, unplanned changes in the market demand for our assets and services; our operating airline's ability to maintain on-time service and control costs; the cost and timing with respect to which we are able to purchase and modify aircraft to a cargo configuration; fluctuations in ATSG's traded share price and in interest rates, which may result in mark-to-market charges on certain financial instruments; the number, timing and scheduled routes of our aircraft deployments to customers; our ability to remain in compliance with key agreements with customers, lenders and government agencies; the impact of current supply chain constraints, both within and outside the U.S., which may be more severe or persist longer than we currently expect; the impact of the current competitive labor market; changes in general economic and/or industry-specific conditions, including inflation; the impact of geographical events and other factors as contained from time-to-time in our filings with the SEC, including the Form 10-Q we will file next week. We will also refer to non-GAAP financial measures from continuing operations, including adjusted earnings, adjusted earnings per share, adjusted pretax earnings, adjusted EBITDA and adjusted free cash flow. Management believes these metrics are useful to investors in assessing ATSG's financial position and results. These non-GAAP measures are not meant to be a substitute for our GAAP financials. We advise you to refer to the reconciliations to GAAP measures, which are included in our earnings release and on our website. And now I'll turn the call over to Joe Hete, our CEO, for his opening comments.
Joe Hete: Thank you, Joe. Good morning, everyone. We appreciate you all joining us. Before we discuss our third quarter results, I would like to address the leadership transition we announced yesterday. This change is the result of careful and thoughtful deliberation by the Board of Directors. On behalf of the Board, I want to express our sincere gratitude to Rich for his contributions to the company. We wish him all the best. I am honored and energized to be stepping back into the CEO role. Having served as ATSG's CEO from August 2003 to May 2020 and continuing as a Board member after that, I believe I bring a unique perspective and skill set to the position. That aside, we are operating in an incredibly dynamic and challenging market environment. There are certain issues that are within our control and others that are not. But we recognize that our recent financial results need to improve. There's more work to be done. And I'm committed to working collaboratively with the entire team to position our business for the future. Despite the challenging macroeconomic headwinds, ATSG is an incredibly resilient organization. With our differentiated business model, diverse customer base and unique competitive position, I believe we are poised to capitalize on the long-term opportunities ahead. I look forward to continuing to build on our strong foundation to deliver value for our shareholders. With that, I will now turn the call over to Quint Turner to discuss our financial results for the quarter. And I will return to close our prepared remarks. Quint?
Quint Turner: Thanks, Joe, and welcome to everyone joining us this morning. While July started out in line with our expectations, our results were impacted by macro and operational challenges later in the third quarter. The next slide, Slide 4 summarizes our financial results for the third quarter. Our revenues grew $6 million or 1% versus a year ago to $523 million. This was driven by higher revenue in the ACMI Services and partially offset by a decrease in revenue in the leasing segment. Our GAAP pretax earnings were down $41 million and diluted earnings per share were $0.24 versus $0.57 in the third quarter of 2022. On an adjusted basis, pretax earnings fell $36 million to $31 million and EPS was down $0.28 to $0.32. In our aircraft leasing segment, CAM, pretax earnings were down $14 million compared to a year ago at $23 million. 11 767-200 freighters have been returned as scheduled since September 2022, including 2 in the third quarter. Power-by-cycle engine revenue was also reduced due to fewer 767-200s in service as well as fewer cycles flown by those 200s still in service. Additionally, the lack of aircraft sales during the quarter versus two in the prior year period negatively impacted our year-over-year comparison. Taken together, the effect of these items, all related to our 767-200 fleet, reduced pretax earnings from the prior year quarter by $13 million. Interest expense was $4.7 million higher than the prior year quarter. Those items offset $7.3 million in additional lease revenue from 10 more freighters added to service. In our ACMI Services segment, pretax earnings were $12 million, down $13 million compared to the third quarter of 2022. This was driven by a mix with more military and less commercial flying, fewer hours over long-haul international routes for cargo customers, the effects of inflation and payroll costs and service challenges in our passenger operations. Earnings from cargo operations together were down $6 million and passenger operations pretax was down $7 million. Total airline block hours were down 1% versus the prior year quarter as increased passenger hours were unable to fully offset a drop in cargo hours. Cargo hours decreased 4% and passenger block hours, including combi flying for the military, were up 14%. Our 757 combi operations resumed services over a transpacific route last fall. Turning to the next slide. Our third quarter adjusted EBITDA was $137 million, down 16% compared to the prior year period. On a trailing 12-month basis, adjusted EBITDA was down $39 million to $594 million. As you can see, even with the year-over-year decrease, CAM still makes up the bulk of our EBITDA, and we still consider this to be our core business. We project 16 freighter lease deployments in 2023, including 12 767-300s and our first 4 A321-200s. Since September 2022, our in-service fleet increased by 6 aircraft. The next slide details our capital spending. Total CapEx for the quarter was $168 million, comprising $120 million in growth CapEx and $48 million in sustaining CapEx. As you may recall, we lowered our capital expenditures outlook for the year last quarter. We continue to expect total capital spend of $785 million for 2023, $240 million of that will be sustaining CapEx and $545 million will be for growth. The next slide covers our updates to adjusted free cash flow as measured by our operating cash flow, net of our sustaining CapEx. Operating cash flows decreased $30 million to $118 million for the quarter and were $600 million for the trailing 12 months. Adjusted free cash flow was $400 million over the last 12 months. That equates to approximately $6 per share based on our outstanding shares as of September 30. On the next slide, you can see that available credit under our revolver facilities in the U.S. and abroad was $428 million at the end of the third quarter. This table reflects the recent convertible note refinancing transaction we completed as well as the subsequent share repurchases we made. Combined, we bought back 9.4 million shares over the past year with 5.4 million of those purchased in the third quarter alone. Our balance sheet remained strong with net leverage under 3x, putting us in a strong position to complete this year's investment plans. Now I'm going to turn the call over to Mike Berger, our President, who will summarize the issues that have developed since September and how they have affected our outlook for the rest of the year. Mike?
Mike Berger: Thanks, Quint. Most of you are aware that at our Investor Day event in September, we reaffirmed our 2023 adjusted EBITDA guidance of $610 million to $620 million. At the $615 million midpoint of that range, that implies $320 million in the second half on top of the $295 million we delivered in the first half. We reviewed the latest results from each of our businesses before the event. And while we told you then about the risk around CAM's second half lease deployments and second half outlook for our airlines, we thought our plan was still attainable. But since then, a great deal has changed in the macro environment for air cargo capacity as most of you are aware and are hearing on earnings calls and reading the trade press and the performance of our passenger airline, Omni Air. To illustrate how those changes have affected our outlook, I'm going to focus on adjusted EBITDA and show you why we are reducing our guidance by about $45 million to a range of $560 million to $580 million. This slide shows that our prior guidance for the second half on the left, the midpoint of our new guidance of $270 million on the right and some key factors behind the changes. The vast majority of that $45 million reduction, about $43 million, stems from 2 pieces of our business: freighter leasing at CAM and Omni's passenger flying. It's important to note that our cargo airlines, ABX Air and ATI, are on track to meet their adjusted EBITDA targets for the year. Quint told you about the service delays and related higher costs that affect Omni's results for the third quarter. Some of those higher costs are continuing. But the main reason for Omni's new fourth quarter outlook is the conflict in the Middle East, which began on October 7. Events in that part of the world have affected Omni's normal fourth quarter requirements for its government customers, which typically peak in October each year. Also, Omni's outlook for higher-margin commercial flying in the fourth quarter is lower than before. Omni's third quarter results include a good July and an August that was close to plan. Obviously, the disruptions in the Middle East were not part of our plan when we spoke to many of you in late September. We are closely monitoring Omni's progress and the global factors that drive its demand. Of the $45 million guidance reduction overall for the second half, more than 1/3 of it is attributable to Omni. Moving to CAM. Our new second half guidance reflects issues in three key areas: freighter and related engine leasing through the end of the year; planned changes in the 767-200 fleet, including sales of those aircraft types; and our current assessment of the new information we're receiving from some of our current 767-300 lease customers outside the U.S. CAM had a strong July for freight release deployments, although some were delayed from earlier in-service projections. We now expect to deliver 16 newly converted freighters by the end of the year, which is 3 fewer than we mentioned before. Leases of engines for 767-300s, which have been a significant contributor in the first half, have decreased. Quint mentioned in his remarks that CAM had intended to sell 767-200s in the second half at prices that would yield significant returns on those fully depreciated assets. We expect to sell a couple this quarter and others in 2024. Additionally, in mid-October, we were contacted by certain airline customers of CAM expressing that they were experiencing lower customer demand, which is negatively impacting their financial results and outlook. Our guidance reflects appropriate adjustments to address the potential effect of that new information. I think I speak for the entire management team in saying that we are probably even more unhappy to have to give you these dues as you are to receive it. The air cargo industry is undergoing rapid changes this fall as you are hearing everywhere else. Unfortunately, we are not immune to that. We still believe that our strategic direction to serve the airlines who will remain in the express package fulfillment business will eventually yield great results. Now I'll turn the call back to Joe Hete for some closing remarks.
Joe Hete: Thanks, Mike. To echo Mike and Quint's words, I want to add that the Board believes just as strongly in the long-term goals of the company to grow and achieved strong returns from leasing and operating mid-sized freighters and passenger aircraft. The growth capital we have spent over the last several years plus what we will spend in the next several years made sense to us even before the pandemic, when freighters were the hottest commodity in the aircraft business. I regard our foundational assets, mid-sized freighters, and the foundational customers we lease to and fly for, DHL, Amazon and the military, has a strong platform that will sustain the company through challenges and support continued long-term cash flow. I hope to bring back what I was probably best known for when I was CEO, leveraging my decades of experience in this industry to assess all of our options to deploy our capital for greater shareholder return and best-in-class customer service. One of Rich Corrado's many talents, which is a key part of why we chose him to run the company, was his insights about the markets we serve and where our range of capabilities fit best. That insight has served us well for several years, but those market conditions have changed. Our new reality is that growth will be more difficult to achieve than before. We faced similar periods before. And I'm confident we can maintain the resilience that has been a hallmark of the company and keep it moving ahead in any climate. The Board's view and mine is that we need to take a more conservative view of when and where we can best invest for the greatest shareholder return and sharply reduce our capital spending program in 2024 and beyond. We now plan to spend $505 million in 2024. That's down $100 million in capital spending compared to the 2024 plan provided at the end of September and down $280 million from this year's projected spend. That new 2024 outlook is driven by fewer conversions and only essential feedstock purchases. That includes purchases of Airbus A330 aircraft we will begin leasing next year. 2024 planned projected lease deployments of 14 converted freighters, including 6 767-300s, 5 A321s and 3 A330s. We are introducing no additional 767-300s for conversion beyond the 7 currently in process. As I've said in the past, we always have the flexibility to not convert some of the aircraft we own until market conditions improve. It's too early to estimate our 2024 adjusted EBITDA. But with these capital spending reductions and the items that Mike mentioned earlier, we plan to provide new adjusted EBITDA guidance for 2024 during our fourth quarter earnings call in February. I can make one positive prediction about 2024, however, cutting our growth CapEx spending means our free cash generation will be higher than it would have been under the prior plan through 2024 and 2025. That concludes our prepared remarks. Quint and I, along with Mike Berger, our President; and Paul Chase, our Chief Commercial Officer, are ready to answer questions. May we have the first question?
Operator: [Operator Instructions] And our first question comes from Frank Galanti with Stifel.
Frank Galanti: So a pretty material change from just a couple of weeks ago, 6 weeks ago. And obviously, in the prepared remarks, you hit on a lot of it. But can you sort of talk about how you're thinking about demand for the 767-300 and 200 actually? So you mentioned 7 767s are in conversion, I think I got that number right. That seems like a change from just even earlier this year on expectations. Is that demand weighing all on the international side? Can you sort of talk through those dynamics, please?
Paul Chase: Yes, Frank, it's Paul Chase here. Thanks for the question. We'll talk about this year first. I mean, we're filling the orders this year using our existing pipeline. But in the future, in 2024, that pipeline has slowed. So we're keeping an eye on that. And that's one of the reasons that the business has decided to pull back on the CapEx. So with most of the deliveries that we expected to go internationally, sure, we're seeing some weakness there. But we're keeping an eye on it.
Frank Galanti: Okay. And then what about the 200s? What sort of changed there from a demand perspective expectations-wise?
Paul Chase: Sure. I mean, the 200s, right, I mean, it's a fleet that we're working on sunsetting over time. And we're really just being opportunistic about upcoming maintenance events and what we have to invest in aircraft from a capital perspective. So it's really a case-by-case basis on those aircraft, and we're working them through.
Mike Berger: Yes. And as you heard in the remarks, we still plan to sell a couple of those 200s as well this year as well as to 2020 -- as well as to 2024, Frank.
Frank Galanti: Okay, that's helpful. And then on the capital allocation front, Joe, you'd mentioned wanting to kick CapEx down. Can you sort of talk about what is locked in? Like what kind of wiggle room do you have in '23, '24 to bring CapEx down further? And then what do you think sort of peak leverage ratio is that you guys are comfortable getting to? And add a final question onto that, what do you think about share buybacks at these prices?
Joe Hete: Well, Frank, like I said, we haven’t had an opportunity to get my arms around all the details in terms of what’s committed to and what isn’t committed to. As I mentioned in my remarks, we always have the flexibility, once we own the feedstock, not to run it through the conversion process, which is where the lion’s share of the dollars are spent, not on acquiring the actual feedstock itself. So as Paul mentioned, we’re seeing a little bit of a softening on the 767 side. So feedstock that we’ve committed to or already own, we’ll just park it and take the things like the engines, we have the opportunity to lease the engines out to other operators to generate some income. We even have the flexibility if the demand is there to throw an aircraft or two to Omni for their use. And of course, if somebody needs a passenger aircraft, we can always leave that to a third party as well. So we’ve got a lot of flexibility there. But at first blush, like I said, this is right now drinking from a fire hose, so to speak, we’re able to identify a significant amount, as I mentioned, over $100 million worth of CapEx, just from what was presented back in September to the market. As far as capital allocation going forward, right now, we’re below 3x from a leverage perspective, 3x has always been kind of a ceiling for us. We like to stay no more than that, although we may creep up just a tad here and there. But ultimately, as mentioned, we expect to generate free cash flow in 2024 and into 2025 as we pull back on the CapEx spend. And at that point, we’ll make a determination whether the best return to shareholders is to pay down the debt. Obviously, interest rates are at very high-water mark these days than what they were about 3-plus years ago and whether that makes more sense or to return the capital to shareholders via share buybacks.
Operator: And our next question comes from Joe Atkins with Stephens Inc.
Grant Smith: This is Grant on for Jack. Just wanted to kind of ask around, I know it's kind of early in 2024, but if you could just maybe kind of frame up how firm some of those commitments are that you have for next year. And maybe can you just talk to kind of the range of outcomes that you're looking out as you think out towards 2024?
Mike Berger: So thanks for the question. So in 2024, as we said, we're fully expecting to deliver at this point, 14 freighters, newly converted freighters. The breakdown of those are 6 767s, 5 A321s and 3 330s. We've got the feedstock secured for those. And as you've heard us say, at this point, on the 767 side, all those aircraft are waiting conversions. So we're in good shape on 2024 in regards to the forecasting. Longer term, as Joe mentioned, we'll see where the market goes. We'll see where the demand goes. We'll see where the cost goes. But long-term forecast from the freighter standpoint, specifically from Boeing and Airbus, as we look out to the future is still robust as well as from a replacement standpoint. But as you could see and we've talked about, the flexibility in our model allows us to throttle back some and produce that free cash flow that we talked about for 2024 and 2025.
Grant Smith: Okay, great. So just kind of to follow up on that, too, kind of this pressure you're seeing on the leasing demand side in the third and fourth quarter, it kind of sounds like you think maybe it's a little more confined to the challenges we're seeing in the market today. And as long as things don't deteriorate too much into next year, you think you can kind of hold the line on where you're at and get all these planes out the door.
Paul Chase: Yes, this is Paul Chase here, Grant. Yes, I do believe that’s the case.
Operator: And our next question comes from Helane Becker with TD Cowen.
Helane Becker: Just a couple of questions in here. Can you address the delays out of IAI? It's one of your biggest conversion firms, and yet many of their employees have been called to service. So how can you be confident that you're going to get aircraft out on time from there?
Mike Berger: That's a really good question. And let me start by saying the IAI folks have been incredible to work with since this event has happened in early October. We have really had consistent and daily, and I say multiple times a day, communication with our partners at IAI in Tel Aviv. And they're doing a heck of a job in terms of coming to work and getting the job done. And we see that on a consistent basis. So we're really confident, Helane, that the numbers that we have presented today in terms of the aircraft for 2023 and 2024, we're going to see. And we see them working and delivering aircraft as recently as last week and this week. So it's a fair question. But I can assure you that IAI has stepped up in this very, very difficult time and been extremely resilient to produce and go about their business.
Helane Becker: Okay, that's great to hear. The other question I had was I think Mas returned three aircraft to you recently. Is that included in the numbers that you gave us for returned aircraft, a? And b, since some of your issues seem to be related to some of your newer international customers, do you have -- and I don't mean to be nasty about this. But do you really have the expertise to grow beyond your core business? Or do you need to bring in more talent to be able to assess risk so that you don't get a lot of aircraft back when market turns.
Mike Berger: Yes. So let me address the Mas situation, the Mas piece first. To be clear, they haven't to date returned any aircraft. And in fact, they were actually scheduled to take an additional aircraft as recently as a short time ago. So we fully expect them to honor their commitments to the leases. And that's been our communication to them. In regards to the international expansion, we've talked about that international growth for some time now. And then when we look out to the future growth of the industry and see where that growth is going to come from, clearly all the data suggests very strongly it's going to come very well from Southeast Asia, East Asia, Central Asia and across other parts of the world. And that's where we've been focused on. In regards to the talent piece of it, that's really an excellent question. We've had a lot of discussions internally about that. We're building up that component of our CAM business to ensure that we address that. You may have heard or remember that we opened up the Irish entity last year. And we really have a big focus now of hiring some folks within the next 6 months or so that will be based outside the U.S. to address some of those concerns that you just mentioned. But make no mistake about it, a big part of our future is international. And we are a global organization, and we're looking forward to that growth going forward.
Helane Becker: Okay, that's very helpful. And then for my last question, to your point about Investor Day, which was September 27, being sure of what you were seeing in the business, I mean, how -- I don't mean to be stupid. But how can that be? How can you not know that you were missing the quarter that close to the end of the quarter? I mean, I know that you're going to close the books after September 30. But things couldn't have just fallen apart in 3 days. To your point, you were seeing the decline in the business, and you talked about it during Investor Day about being aware of what was going on. We saw -- we had heard from FedEx late August. We knew that UPS had issues. But how did you not like figure out that things were not that robust? And then when you did, how could you not have [indiscernible] Street prior to last night?
Quint Turner: Well, Helane, this is Quint. I mean the -- in terms of the quarter, we started out ahead of plan in July. And August was a bit worse. But we were not materially away from plan at the end of August. And truly, in September, we had a -- as we mentioned in our press release, we had some service challenges with Omni. They had a very atypical quarter in terms of service delays. And that can and did lead to a lot of cost overrun in the travel area as well as the flight crew and over time. And that was -- in terms of the third quarter, I'm not talking about the second half guidance, but just the third quarter, that was a significant downturn in their September results. And that -- we did not have that visibility certainly at Investor Day. The other source of the third quarter miss was primarily CAM. And CAM, as we've said in prior quarters, one of the things they are working through is the disposition of some 767-200s that have come back. And they're selling some of those aircraft. And those sales were being worked and anticipated to be done by the end of the quarter, in fact, right up until the very last day. And in some cases, of course, you're relying on the buyer and the other party to carry through with the transaction. And they're still working towards those transactions. But the timing of getting those executed did not occur during the quarter. And that was a -- I know that was over a $5 million CAM item just in the third quarter. So we had truly a lot of the deterioration in the third quarter occurred late in the quarter. And we did not have that visibility at the time. And we, of course, mentioned in the earnings release, the Israeli conflict, assessment of some customer news that we received in October, all that occurred subsequent to the quarter, which impacted our second half guidance that was not known to us at the end of September. So I don't know if that -- I know it's quite a change, and I understand the question. But truly, there were a lot of developments subsequent to Investor Day, which impacts our guidance.
Joe Hete: Helane, this is Joe. Obviously, that's a question that myself and the rest of the Board members have asked a number of times in terms of how could we go out at that point in time. And while there's reasons for all of it, we don't find it acceptable. And as Mike noted in his comments that it was more difficult for us to have to make that kind of news to the market as opposed to you hearing it. So rest assured that, that is at the top of the list of getting back in terms of where the numbers we put out are credible to the market and not something that you have to be -- to question going forward.
Helane Becker : Well, yes, I mean, I think the other thing, Joe, you might want to think about is how everybody reports up to you so that you don't get surprised and the Board doesn't get surprised at the end of a quarter like this. Because your stock is down 25%. So you've got a lot of rebuilding to do just from a credibility perspective in the market going forward. It's not going to be easy to get that 25% back.
Joe Hete: No, it’s not. It’s one of those things, like I said, that’s at the top of my list of things to focus on, Helane. That’s point number one.
Operator: And our next question comes from Christopher Stathoulopoulos with Susquehanna Financial Group.
Christopher Stathoulopoulos: So Joe, your comments around growth more difficult to achieve, mike's comments around what sounded as point to the challenges within air cargo, I'm just -- I'm still having difficulty sort of parsing out what's temporary and what's going to persist here. How much of -- I understand perhaps what happened with the second half, but essentially now we have a double guide-down with 2024 guidance at risk. So how much of this is kind of cyclical slowing here within air cargo? You talk about some international wings perhaps slowing. What's operational? Are we having issues here with pilot attrition? Is it something else? Is it weather, geopolitical, supply chain? You spoke to IAI. I just want to understand, of course -- and then within CAM, rising interest rates, depreciation, we all understand that. But just if you could help kind of put it into buckets here. Because there's a lot obvious here to digest. But the magnitude of this miss and what is being viewed as two guide-downs is significant, so if you could help just sort of frame the moving parts.
Joe Hete: Yes. Before I turn it over to other members of the team, obviously, I think it kind of falls under the category of all of the above are the things you listed out there. I mean, it's no secret that the macroeconomic conditions around the globe are more challenging these days. And as we have said in the past, our customers are the Amazons and DHLs of the world. So as you see decreasing cargo volumes around the globe, that's going to have a trickle-down effect to some of our lease customers. But as I think Quint noted in his remarks or Mike, if you look at our core cargo business with the Amazons and DHLs of the world, that portion of it is pretty stable. So with that as a backdrop, you can see that if you've got the smaller operators around the globe to support them and conditions are not really good from a total macro perspective, then that's going to have that trickle-down effect. So with that, I'll turn it over to Mike and Quint and Paul to further comment.
Mike Berger: Yes. Let me try to unpack the market piece a little bit more, Chris, for you. So the overall market demand has certainly softened and slowed. There's no question about it. We had the flexibility within the -- in our order book, if I could put it that way that as the market faced challenges in 2023, we have the ability to bring 2024 leases and customer leases forward to 2023, okay? And that was due to the strength of our order book that you've heard us talk about now for some time. Given that, as we pull stuff forward, obviously, we then took the opportunity really -- and you've had heard this said earlier, it's to really demonstrate the flexibility in our model and throttle back down some of our growth in 2024, specifically around the 767, which will allow us to reduce our CapEx dramatically in 2024, which ultimately will lead to the free cash flow that was referred to earlier. As it relates to the A321 and the A330, we just inducted our first A330 into conversion a couple of weeks back. We still fully anticipate to deliver the 3 A330s in 2024 that we talked about. And from -- and in this year, we still will deliver 4 A321s and 5 next year. So the overall demand specifically, we just had the ability and flexibility in the model to shift things around, throttle down on the CapEx in terms of some of the conversion costs that will help us on a go-forward basis.
Paul Chase: Yes. And Chris, it's Paul Chase here. I'd like to reiterate just a couple of things that Joe Hete said earlier. I mean, unfortunately, with some of this pullback in demand, it allows us the opportunity to look at the assets we have differently. So we are looking at aircraft that are sitting that aren't being converted to pull those engines off and deploy those assets. So it's allowing us to do that. But what I'd also like to say is in conversations with customers, there are plenty of customers who have noted the macroeconomic environment who intend to do business with us in the future [indiscernible] on their side, look better. So there's still this pent-up demand as well. So I feel pretty confident.
Christopher Stathoulopoulos: On the labor piece, you spoke in prior quarters about elevated levels of pilot attrition, if you could talk to that and also plans around hiring for next year.
Joe Hete: Yes. I mean, pilot attrition is a problem throughout the industry that we're not immune from it by any stretch of the imagination. We're still managing to bring people in the front door. The key is to keep people from going out the back door. But when you've got other airlines offering significant hiring bonuses, et cetera, that becomes a challenge. But airplanes are still moving every day. We do have some service failures occasionally because a pilot got waylaid someplace or took ill, but we're still managing to move the aircraft as according to their schedule. So that hasn't been an impediment to the business overall. Obviously, we've got an ongoing negotiation with ATI. As I said earlier, I'm still drinking from a fire hose, so I haven't had a chance to dig into it in great depth. The negotiations are under the auspices of the National Mediation Board. So there's no ability for pilots to walk out until you go through the whole mediation process. I've been down this road many times in 40-plus years, so got a lot of experience in terms of how you work through these issues. At the end of the day, you've got to have a contract that works for both sides. So if you've got on the union side asking for FedEx or UPS wages or industry-leading, and that's not in the cards from what we get from our customers, then that's just not something we can agree to. So the key, obviously, in the end is finding a happy middle ground between their demands and our needs to keep things on the rails.
Christopher Stathoulopoulos: Okay. And just a follow-up here. I know you're not ready to give guidance for next year here. But if we look at the exit rate for this year and we annualize, that gets us to around $540 million. If we compare that to, I think, the low end of the guide you gave a few weeks ago, that's kind of a high-teens growth. Quint, maybe if you could talk a little bit about the puts and takes as we think about -- as we hope to put on our models today, whether this is a wholesale revision or some fine-tuning, have 14 aircraft, if I understood correctly. We have elevated depreciation, interest rates. Lease rates positively are moving higher. But it sounds like there is some slowing within cargo. Just if you could help frame the puts and takes as we think about EBITDA for next year.
Quint Turner: Thanks, Chris. Yes, the -- first, in terms of the guidance sort of revision, right, because you asked about that earlier, how much of that carries over, how you think about it. Around -- a little more than 40% of that, call it, $45 million guide-down since the end of September is related to Omni. And it's not due to any loss of customers or business. It's due to a couple of factors. First off, third quarter, and we mentioned they had an unusual service quarter, which drove a lot of costs in terms of delays. Because that drives that additional travel and crew costs that I mentioned earlier. That was a big piece of their miss for the quarter. The fourth quarter portion of the guide-down is related more to, and we mentioned in the release, the Israeli situation, we believe, will impact some passenger requirements. Omni has a -- typically a very busy October. And with the onset of the conflict occurring early in October and looking through the remainder of the quarter, we just feel like that may -- had the effect of deferring some of their business until later periods. And it's difficult to predict whether that will be by the end of the fourth quarter or spill into the first quarter. But it's not a -- like they lost some piece of business that will never occur or some customer. So I wouldn't say that the Omni piece of that $45 million is a systemic thing that you should think about necessarily for next year. Then the other pieces of that guide-down, of course, primarily our CAM. And the largest piece of CAM, and it's similar to Omni, I'd put it somewhere a little north of 40% of that. And the pieces of that are the 767-200 sales, which we had targeted for the second half. I mentioned -- we mentioned they didn't sell any in the third quarter. And they have some slated, as Mike indicated, for the fourth quarter. But as you might expect, we've tried to take a conservative view on that because the timing has proven to be difficult to pinpoint in terms of the other party tied up to sale. And then we've seen some reduced flying of the 767-200s that we provide engine power customers for. And so the combined effect of that is probably more than half of the CAM's piece of the guide-down is related to the 767-200 fleet. And then they had some later startups of new leases of 767-300s than we had anticipated. And some of that is related to that softness in the market, we believe, right? We've got the MasAirs and other customers that are feeling the pinch and aren't perhaps as in a quite the hurry to take the airplanes as it would be in a more robust macro environment. And so that's a piece of that as well, as well as our view again trying to be conservative on the realization of customer revenues from some of those folks through the fourth quarter. And we've tried to take a reasonable estimate of that in terms of our revised guidance. Those were the biggest pieces of the $45 million guide-down. Now as far as the '24 outlook, Joe and Mike spoke about the CapEx reduction, which, of course, is much easier for us to revise at this point because we know what -- as Mike said, we're not going to refill the conversion lines once the airplanes are produced at IAI. So that will reduce our '24 CapEx. And we know what feedstock commits we had. So we've looked at that and said we're going to bring our CapEx down $100 million. Now that doesn't mean that's where we necessarily stop. We're continuing to scrub that. And we're going to look for more opportunities to lower the expenditures there as we move forward. I'm sure, Joe, in particular, will be looking at every flow. In terms of the adjusted EBITDA to revise the guidance we gave at the end of September for '24, because of the situation in Israel, the customer and macro market softness that we've mentioned, we want to let that play out further and update that guidance in February. But that said, we are confident that the adjusted EBITDA that we put forward for '24 will be higher than our '23 that we've guided to. And we look forward to, in February, once we've had some of these events continue to evolve and updating the market further, that we have enough, we believe, visibility to '24 certainly to say it will improve upon '23's result.
Mike Berger: I just want to highlight the one thing that Quint mentioned specifically around Omni is that troop rotations will take place. We just, from a timing standpoint, I can't predict that piece of it.
Christopher Stathoulopoulos: Right. Okay. So if I hear you, the sort of base case risk-adjusted view, if you will, of EBITDA for next year is higher than, let's say, the midpoint of -- for today's revised guide?
Quint Turner: Correct.
Christopher Stathoulopoulos: Okay. And last one on the power-by-cycle contracts, Quint, how many of those sort of pandemic-era contracts are rolling off of this year?
Quint Turner: Well, the -- what I was speaking of was related to the 767-200 GE-powered 80A engines. And we maintained a pool. You may remember when our previous arrangement for power-by-cycle ended with a supplier, we instead went to a pooling concept, where we would make that power available to lessees for 767-200s. So we have -- we provide that availability and customers pay us by the cycle on that. And we maintain that pool of engines, which you can expect, as that 767-200 fleet comes down, our CapEx spend to do that will likewise come down. But what we have seen is, as we're paid by the cycle, we've noted this year that sequentially each quarter, we've seen those airplanes that are still out there with customers flying fewer cycles. And I think that is an indicator that there perhaps some softening market because there aren't -- there isn't as many flights taking place, not as much perhaps for those customers' volumes a reason to fly the airplane. And so that has impacted, as I mentioned, the EBITDA from the 200 fleet that [CAM] gave us, but -- and I'm not sure, Chris, if you were asking about our own power-by-cycle arrangements that we have with suppliers to maintain other engine types or you were just focusing on the comments around 767-200 PBC.
Christopher Stathoulopoulos: Not the 200s, overall, I'm guessing that you did -- there were some contracts that were put together early mid-days of the pandemic. And I was curious how many of those are rolling off at year-end.
Quint Turner: Well, I mean, the other engine types, the other aircraft types and the engines that power them, we don’t maintain a pool of engines. Under the lease, the customer is typically responsible for the maintenance of those engines throughout the life of the lease. Now we ourselves have a power-by-cycle arrangement with an outside vendor to take care of our engines for the 767-300 GE-powered fleet. And I believe we’ve entered into one with IAI for the PW4000s, right, the Pratt engines. But that’s different than us offering a product to a customer. That’s us buying from a supplier. So I’m not sure which side of the PBC you’re getting at there.
Operator: Our next question comes from Howard Rosencrans with Value Advisory.
Howard Rosencrans : So the second half looks like -- so the midpoint of your guidance is $270 million. I'm just trying, based on -- so the Omni part is largely the Middle East. Is that the big change there?
Quint Turner: That's -- in the fourth quarter, Howard, for Omni, that would be -- of the second half, obviously that happened in October, so that's -- in the fourth quarter, yes, that's the biggest impact on Omni.
Howard Rosencrans : Okay. And the rest of the stuff is lower demand or the absence of the engine sales, just to summarize, right?
Quint Turner: Yes, I mean, we went through some of the puts there a minute ago, puts and takes.
Howard Rosencrans : Right, okay. Just I'm having a little trouble processing. In my 40 years in the business, I never saw this happen. So the $270 million, the midpoint of the guide, should be the absolute, absolute -- you already communicated you'll expect that the guide you'll introduce or that -- ostensibly, 2024 will be higher than 2023. So -- but just to take the bare -- just to take $270 million as a second half number, you have some anomalies. You have some -- you have all of these factors. So sort of a worst-case scenario is that, that suggests that your $540 million, $550 million is the absolute bare bones, just so we can understand what sort of a bare bones number there is out there?
Quint Turner: Well, I think when we said it would be better, we were talking about for our full year '23. So the full year '23 guide is higher than $540 million, right? So we're talking about our guidance for the full year '23.
Howard Rosencrans : Okay, I thought you were talking about '24 when you made some comments about '24. Okay, maybe I'm just...
Quint Turner: We are -- we're saying '24 will improve upon '23's full year adjusted EBITDA.
Howard Rosencrans : Yes, okay. That was the point I was making. I was just trying to understand what the -- obviously, there seems to be a lack of filter of information that’s going on at the company, so…
Operator: And our next question comes from Michael Ciarmoli with Truist Securities.
Michael Ciarmoli: I guess, can we just maybe elaborate a little bit on how Israel is directly impacting Omni? I mean, at Investor Day, I know the focus was on a potential government shutdown. It sounded like all flight activity was booked and locked in for the end of the year. Obviously, the U.S. doesn't have any direct exposure. But I would think regardless troop rotation, movement would be good for Omni. So what's exactly happening with Israel?
Quint Turner: Well, and I'll take a stab at it and let others join in. Michael, this is Quint. Again -- and we refer to them as passenger requirements. Obviously, we're not going to go into a lot of detail on what Omni may be hearing directly from their customer. But just in general, I think the Israeli conflict caused an atypical interruption to what would normally be their busiest period, that being October. And as we remarked earlier, we do not believe that over a longer stretch of time, it will be a negative impact to Omni. Because those passenger operations will occur. It's just difficult to say whether they will fall inside the fourth quarter or they will extend beyond that. And you're correct that, in many cases, world events have resulted in additional revenue opportunities for Omni. But it's not the norm. And you only have to look back at the Afghanistan withdrawal, the NATO situation near the Ukraine to find some examples. So Omni remains, I believe, kind of a linchpin, if not the linchpin carrier for commercial passenger moves for the DoD. And we fully expect that to continue. Omni has demonstrated that while there's more volatility, they can also do very well in those situations. So we're not saying that's changed. The possibilities are lower now. We're not saying...
Joe Hete: Yes, you've got to understand, military is going to do their contingency planning. And of course, like I said, anything that they do in that regard is not something that's divulged to the public. But eventually, as Quint noted, troops have to move. Normally, October is a busy month because rotating troops in and out before the holiday season. But when you've got a crisis boiling like we have in the Middle East, it's one of those things where everything kind of has to take on -- be put on hold until you can better assess the situation and what the potential ramifications are.
Michael Ciarmoli : Got it. And then just on the -- I mean, I get it on cutting CapEx and it's going to improve cash flow. But this is now multiple cuts to CapEx. And I guess, what's sort of the direct formula you can give us? Because as we look out now, I mean, the '25 EBITDA guide has obviously moved. But how much does the lack of growth CapEx spending impact the EBITDA generation that we were originally going to see?
Quint Turner: Well, Michael, I mean, again, there -- of course, in addition to the CAM segment, which is where the EBITDA drive is from CapEx spend, there's the ACMI Services. And we've spoken a lot about some of the things, with the Israeli situation. And that is the reason we're deferring '24's CapEx guide to next year. But I think that next year, the aircraft that come out will -- as Mike said, 14 or 15 aircraft will still drive significant EBITDA. There will still be some headwind from 767-200s being removed from service at the same time. And he talked about 14 or 15 aircraft, I think 8 of those are Airbus aircraft that come out next year. And I think -- so we're still going to have significant EBITDA contribution from newly converted aircraft that go on lease. But we're going to hold off on the total EBITDA guide until we've had a chance to see how some of these other factors play out. But we are confident that it will exceed '23's actual.
Joe Hete: Yes. Just keep in mind, the EBITDA contribution of an asset is basically only a fraction of what the CapEx spend is for that similar asset. So it takes years to get that cash back in terms of leasing the aircraft out. So near term, it will have a minor impact on the EBITDA but a significant impact on the CapEx spend.
Michael Ciarmoli : Okay. And Joe, last one for me, and I hate to go here, but back to Helane's line of questioning. I mean, we can literally monitor in real-time flight operations. I just -- I mean, what were you guys not seeing? I mean, I would think you could see your power by the cycle on a daily basis, your flight operations on a daily basis, the block hours on a daily basis. I mean, it just seems like there was a failure of internal controls here. And I mean, if you're seeing all these trends in real time, and we've been hearing and talking about a macro slowdown for months, I just -- it just doesn't really square to me. I don't know if you guys -- if you just weren't monitoring that data or weren't looking at it. But it just -- yes, just seemingly, there seems like there was something that should have been jumping out and flashing red, especially on September 27.
Joe Hete: Yes. And in part, you’re correct in that regard in terms of – but it’s not an internal control, it’s more of understanding what the ramifications are of a delay. For example, when Omni had an aircraft that was down for 3 days, an airplane is down for 3 days. But the part that wasn’t connected was the fact that you had to put up 200 or 300 passengers in the middle of nowhere. I think it was in Guam was where the aircraft got waylaid. And it nailed there for 3 days. So it’s the downstream ramifications of it. Everybody knew the airplane mechanical, for example. As far as power-by-the-cycle thing goes, the users of the 200s turn in their hours at the end of the month. We don’t get a daily recap from them that, “I flew 2 hours yesterday and 5 hours the day before.” At the end of the month, you total up what their utilization was. So you really wouldn’t have visibility into the PBC portion of it until the end of the month. All you’re doing is forecasting what you saw previously.
Operator: Our next question comes from Chris Stathoulopoulos with Susquehanna.
Christopher Stathoulopoulos: I'll keep this quick. Just, Quint, if you could walk us through cash total liquidity, including your revolver debt security? And also just remind us of the pilot open contracts, whether those were embedded in the out-year guidance.
Quint Turner: Sure, Chris. In terms of the last question first, I guess, the pilot open contracts, of course, we're not giving guidance -- we're not refreshing our '24 guidance. But if you're asking if we had it included at the end of September, yes, we did when we talked to the market. But today, we're not refreshing out your guidance on the expense side. But when we do, it will be in those status of the pilot agreements. As far as the liquidity section -- and of course, there's a slide in here, Slide 8, which kind of lays it out. But we have a revolver that it's, I believe, a $1.1 billion capacity revolver that we've got undrawn, unused capacity of over $400 million on. Our current leverage ratio after including the unsecured portion of our debt, which is a new convertible, $400 million convertible due in 2029 as well as the remains of a convert we did in 2017 that's $54 million that matures next year, and an unsecured bond that matures in February of 2028 of $580 million. Taking that into consideration and looking at the leverage ratio, we're currently levered at, I believe, it's like 2.88x, our trailing. And so still conservatively levered with some reduction in EBITDA, we will be around 3x levered. We might even slightly go above it, depending upon how that comes out. But with the reductions in CapEx that we spoke about, there's not a -- there will be the ability -- if we choose to allocate capital to delever, there'll be an ability to do that as we look to the next couple of years. I mean, as we said in our remarks, the cash flow the business produces from the base of leases we have, you think about 75% or more of our revenue is through Amazon, DHL and the Department of Defense, that stable cash flow will continue and generate a lot of capital that can be allocated to deleverage, should we choose to.
Christopher Stathoulopoulos: And you think -- you said in your Investor Day, you had more than $1.5 billion of available unencumbered aircraft collateral. There's been some movement in [indiscernible], which would be a positive, given your 767 exposure on values. Is that number, give or take, around $1.5 billion of unencumbered collateral still the right way to think about it?
Quint Turner: Yes.
Operator: This concludes the question-and-answer session. I would now like to turn it back to Joe Hete for closing remarks.
Joe Hete: Thank you, Sean. To our stakeholders, we get it, receiving the news we reported yesterday after an upbeat outlook in September is hard to accept. We need to restore your trust by making all the commitments we know we can keep. Many of you on today's call know me and the fundamental cash-generating power of the business that the ATSG team and I built over many years by investing for growth and shareholder return. I agreed to return as CEO to guide the company through the next phase of its development, which will require us to focus on maximizing returns on the aircraft assets we have today while taking a more measured approach to investing for new ones. And I've already told our employees that I welcome all their ideas to make us stronger and advised our customers that our commitment to best-in-class service remains the basis for everything that we do. Thank you, and have a quality day.
Operator: This concludes our conference for today. You may now disconnect.